Operator: Good day and thank you for standing by. Welcome to the Alarm.com Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised today's conference is being recorded. I would now like to hand the conference over to your speaker today, Matthew Zartman, Vice President, Strategic Communications and Investor Relations. Please go ahead.
Matthew Zartman: Thank you, Kevin. Good afternoon, everyone. Joining us today are Steve Trundle, Alarm.com's CEO; and Steve Valenzuela, our CFO. During today's call, we will be making forward-looking statements, which are predictions, projections, estimates or other statements about future events. These statements are based on current expectations and assumptions that are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. We refer you to the risk factors discussed in our annual report on Form 10-K and our Form 8-K, both of which will be filed shortly with the SEC, along with the associated press release. This call is subject to these risk factors, and we encourage you to review them. Alarm.com assumes no obligation to update these forward-looking statements or other information that speak as of their respective dates. In addition, several non-GAAP financial measures will be discussed on the call. A reconciliation of GAAP to non-GAAP measures can be found in today's press release on our Investor Relations website. I'll now turn the call over to Steve Trundle. Steve?
Steve Trundle: Thank you, Matt. Good afternoon, and welcome to everyone. We are pleased to report fourth quarter and full year results that exceeded our expectations. Our SaaS and license revenue in the fourth quarter was $165.7 million, up 11.7% over the last year. Our adjusted EBITDA for the quarter was $46.4 million. I want to thank our service provider partners and our employees for their contributions to our 2024 performance. We continue to see nice momentum in the business as we finished out 2024, particularly in the commercial security and energy hub parts of our business. On today's call, I'll review our performance in the primary areas of the business and then provide more details on our recently announced acquisition of CHeKT. In 2024, our North American residential business continued to be the largest component of our diversified business. Our advantage in this area comes from our scale, the quality of our offerings and the outstanding relationships we have built over the years with our service provider partners. We've been focused on this market with a sustained commitment of resources for longer than anyone else. While the market remains competitive, our service providers generally have little patience for less complete offerings. Consumer demand for professionally installed and serviced smart home security solutions remains solid. One product that we recently released for residential and particularly for the residential rental market is the new pro-thermostat HQ. This unique thermostat product connects to our cloud directly via an onboard cellular communicator. The pro HQ does not depend on a WiFi network to provide connected thermostat capabilities. So a builder that builds a home and wants to remotely control the temperature and humidity of the property before it's sold, now has a connected thermostat solution that does not require an internet subscription for the property. Similarly, rental property managers frequently want to remotely manage the HVAC system for a property between tenants. These temporarily vacant properties often do not have WiFi service. Property managers can now install and use the pro-thermostat HQ to manage and monitor vacant properties all the time. Our growth initiatives also continued to scale during 2024. These include our commercial business, the international business and EnergyHub. Collectively, 26% of our total SaaS in 2024 was generated by these businesses. And collectively, their SaaS revenue grew nearly 25% on a year-over-year basis. I'll review each of these businesses and highlight several recent developments that provide a nice backdrop for 2025. I'll start with our commercial business, which produced over $80 million in SaaS revenue in 2024. Physical security solutions continue to evolve into cloud-based software solutions that are more capable and cost effective. Alarm.com purposefully designed our commercial offering to seamlessly integrate across access control, intrusion and video monitoring all into a single cohesive platform accessible and easily managed through a single app. We believe that our solutions align with what the market wants and our service provider partners offer the professional design, installation and maintenance services that the commercial market requires. Included in our commercial business is OpenEye, our enterprise video business. OpenEye continues to post strong growth, generating nearly $20 million in SaaS revenue in 2024. As I have discussed on recent calls, remote video monitoring service, or RVM, should also further expand the addressable opportunity we have in the commercial market. Historically, the primary use case for video solutions was to support investigations and determine when an institute occurred and who was involved. RVM is transforming video surveillance cameras by enabling them to now also deter crime before it happens. One method that we use for deterrence is to apply AI to identify certain types of activities that appear suspicious. Our system can then engage the potential perpetrator with a generative AI voice that is dynamically tailored to the environment and the individuals. We do all this in real time. Our recent acquisition of CHeKT takes this a step further and expands our position in the RVM space. We believe that CHeKT has built the best SaaS software solution for control rooms to professionally monitor properties through an array of security video cameras. The CHeKT platform can ingest active surveillance events from nearly any video camera and enable those events to be effectively escalated and handled by control room personnel. Operators can focus on critical events, initiate deterrent activities, reduce false alarms and speed response to threatening scenarios and improve overall security outcomes. CHeKT also provides a bridge appliance for installation at the customer site that service providers can use to connect legacy video cameras directly to the central station control group. CHeKT supports most OpenEye cameras today and will continue to support many third-party cameras. Over time, Alarm.com cameras will also be integrated into the CHeKT control room solution. The company is small, but has nice momentum in the RVM space. We've been impressed by the entrepreneurial energy and culture of the team and are very pleased that they will now be joining Alarm.com. Shifting to our international business for a moment. We continued to see solid contributions to our growth in 2024 as we expanded our product offerings and our service provider footprint in over 70 countries. In 2024, total revenue from outside of North America reached 6% of our consolidated total revenue as reported in our 10-K. We have the right set of marquee service provider partners internationally to support further growth in this area. In 2025, we'll continue to focus on growing our support for regional and local service providers to further grow and diversify our international revenue streams. The final element of our growth strategy is the continued development of our venture businesses. These SaaS-based businesses consist of EnergyHub, Building36, PointCentral and Shooter Detection Systems. Each is developing innovative IoT-enabled applications that further expand our addressable markets. I'll spend a moment discussing EnergyHub, which is the most developed of these businesses. EnergyHub provides software technology for grid level energy management. It's now more than a $50 million SaaS business and growing nicely. The EnergyHub platform interfaces to various IoT devices to aggregate distributed energy resources such as smart thermostats, residential batteries, electric vehicles and charging infrastructure. EnergyHub then enables utilities to harness these grid edge devices into a virtual power plant that provides grid flexibility and load management during periods of supply and demand imbalance. In 2024, EnergyHub began introducing dynamic load shaping. This first-to-market capability uses machine learning algorithms to automatically dispatch granular groups of grid edge devices to provide more precise and sustained load shaping. With dynamic load shaping, utilities have greater flexibility for leveraging the virtual power plant production that EnergyHub offers. Dynamic load shaping functionality proved successful across three proof-of-concept tests last summer. EnergyHub pioneered the residential DERMS space and now manages over 1.6 million enrolled grid-edge devices for over 70 utility clients in the U.S. The business is in a strong position to unlock additional value streams in the rapidly evolving energy ecosystem. Finally, I would like to let our investors know that my colleagues, Steve Valenzuela, our CFO, has decided that he will be retiring from Alarm.com. We are very thankful for all of Steve’s contributions over the years, which I would like to recognize. Steve joined Alarm.com in November 2016. At that time, Alarm.com was a much smaller company with total revenue of just $248 million and earnings of $44 million. Under Steve’s financial leadership, we have grown revenue by 280%. Today is Steve’s 33rd earnings report with us and we are reporting more SaaS revenue this quarter than the business generated in the entire 12 months preceding his arrival. He has led countless calls with our investors and ensured that we always provide high fidelity reporting on our business. As importantly, he has built a great finance team at Alarm.com that is geared up to continue executing our plan going forward. We will immediately begin a process to identify our next CFO. We are grateful that Steve will stay with us as long as needed to support the transition to a new CFO. It’s important to note that Steve’s decision to leave is not due to any disagreement concerning the company’s financial statements, operations, policies or practices. So, we get to have him help us for a while longer, but he will be retiring from the company this year. Steve, I have enjoyed working with you and we thank you for your service to Alarm.com. And with that let me turn things over to you to report on how we finished out 2024.
Steve Valenzuela: Thank you Steve for your very kind words and confidence in me. It’s been a true partnership which for me has been very special. After nearly eight and a half years, this is a good time for me to retire from Alarm.com and consider the next chapter in my journey. I’m committed to remaining in my role for a sufficient period of time to ensure a smooth transition. It’s been my greatest pleasure to play a part in Alarm.com’s growth from $248 million to over $900 million in annual revenue and raising over $1 billion in cash, leaving the company with a strong balance sheet. I’d like to thank the employees of Alarm.com, in particular, the finance team for their support. I’m especially proud of the strong finance team that I’ve had the pleasure of developing and leading over these years. This gives me great satisfaction knowing that Alarm.com will be in very good hands. I’d also like to thank the Board of Alarm.com, our partners, investors and analysts for their support. I am confident that Alarm.com will continue to be the leading platform provider of connected properties for the next decade and beyond. I look forward to following Alarm.com’s progress. And with that let me turn to review our fourth quarter and full year 2024 financial results and then provide guidance for 2025 before opening the call for questions. Fourth quarter SaaS and license revenue of $165.7 million grew 11.7% from the same quarter last year as we continue to see good growth in our commercial, international and EnergyHub markets. For the full year of 2024, SaaS and license revenue of $631.2 million grew 10.9% over 2023. Our SaaS and license revenue visibility remains high with a revenue retention rate of 95% in the fourth quarter above our historical trend and higher than our long-term target range of 92% to 94%. Hardware and other revenue in Q4 2024 was $76.6 million compared to $77.9 million in the year ago quarter mainly due to slightly fewer sales of cameras and thermostats. Total revenue $242.2 million for the fourth quarter grew 7.1% from Q4 2023. For the full year of 2024, total revenue grew 6.6% year-over-year to $939.8 million. SaaS and license gross margin of 85.6% for the fourth quarter increased approximately 100 basis points from the year ago quarter mainly due to the contribution of license revenue. Hardware gross margin was 22% for the fourth quarter compared to 25% for Q4 2023 mainly due to product mix. Total gross margin was 65.5% for the fourth quarter, up from 64.1% for Q4 2023 mainly due to a higher percentage of SaaS and license revenue. Turning to operating expenses. R&D expenses in the fourth quarter were $62 million, up slightly from $61.3 million in the fourth quarter 2023. We ended 2024 with 1,127 employees in R&D, up from 1,118 employees at the end of 2023. Total headcount increased to 2010 employees for 2024 compared to 1,989 employees at the end of 2023. Sales and marketing expenses in the fourth quarter were $30.9 million, or 12.8% of total revenue, compared to $25.9 million, or 11.5% of revenue in the same quarter last year as we increased our investment in some marketing programs to help drive awareness of our professional service providers for smart property installations. Non-GAAP adjusted EBITDA in the fourth quarter was $46.4 million compared to $45.6 million in Q4 2023. For all of 2024, adjusted EBITDA was $176.2 million, an increase of 14.5% from adjusted EBITDA of $154 million for 2023. In the fourth quarter, GAAP net income was $30.1 million compared to GAAP net income of $31.2 million for Q4 2023. Non-GAAP adjusted net income was $32.6 million, or $0.58 per diluted share in the fourth quarter compared to $33.9 million, or $0.62 per share for the fourth quarter 2023. GAAP net income for the full year of 2024 was $122.5 million compared to GAAP net income of $80.3 million for 2023. Non-GAAP adjusted net income for 2024 was $127.1 million, or $2.28 per diluted share, compared to non-GAAP net income of $113.2 million, or $2.07 per share for 2023. Turning to our balance sheet, we ended 2024 with $1.22 billion of cash and cash equivalents, up from $697 million at December 31, 2023. Through the 12 months ended December 31, 2024, we generated $206.4 million of cash flow from operations, up from $136 million for 2023. Our free cash flow for 2024 was $196.3 million compared to $128.4 million for 2023. The increases in operating and free cash flows for 2024 were mainly due to our higher profitability levels and positive working capital trends. Now turning to our financial outlook, for the first quarter of 2025, we expect SaaS and license revenue of $160.2 million to $160.4 million. For the full year 2025, we expect SaaS and license revenue to be between $671.2 million to $671.8 million. We are projecting total revenue for 2025 of $978.2 million to $980.8 million, which includes estimated hardware and other revenue of $307 million to $309 million. We estimate that adjusted EBITDA for 2025 will be between $188 million to $192 million. We expect adjusted EBITDA for the first quarter of 2025 to represent approximately 20.5% to 21% of our annual guidance. Non-GAAP adjusted net income for 2025 is projected to be $130 million to $131 million or $2.28 to $2.29 per diluted share. EPS is based on an estimate of 60.6 million weighted average diluted shares outstanding. We currently project our non-GAAP tax rate for 2025 to remain at 21% under current tax rules. We expect full year 2025 stock-based compensation expense of $43 million to $45 million. In summary, we are focused on executing on our business plan and investing in our long-term strategy while continuing to deliver profitable growth. And with that, operator, please open the call for Q&A.
Operator: [Operator Instructions]. Our first question comes from Saket Kalia with Barclays. Your line is open.
Saket Kalia: Okay. Great. Hey guys thanks for taking my questions here. Congrats Steve Valenzuela on your retirement.
Steve Valenzuela: Thanks, Saket. It's been great to work with you. I'll be around for a little while longer, though.
Saket Kalia: Yes, absolutely. Listen, tip my cap to you nonetheless.
Steve Valenzuela: Thank you.
Saket Kalia: Steve, maybe for you – on the quarter, it was great to see SaaS and license revenue growth accelerate versus the growth that you saw in Q3. Can you just maybe talk about what drove that acceleration? And how you sort of marry that growth versus the guided growth for SaaS in 2025 at somewhere between 6% and 7% growth?
Steve Valenzuela: Sure. Yes. I would point to, first and foremost, EnergyHub overperformed in the quarter. Typically, EnergyHub has a strong season in Q4. They actually overperformed in terms of their savings for the utilities. They also brought a new utility partners as well. And so that was a very good contribution. I would also point out to OpenEye. OpenEye continues to roll out SaaS to their new subscribers, the new customers, and they performed really well. So those are really some of the major contributions to Q4. You also saw that international is now 5% of our total revenue in the past quarters [ph] of total revenue. So those are the key points, 6% of total revenue in the quarter, right? It was 5%. So that's – so those are some of the points that I would point out for overperformance in the fourth quarter. Comparing to 2025, in the past, we've talked about some of the headwinds from ADT+. So we've modeled in 2025, the transition to ADT+, that's about a 200 basis point headwind and also with the license revenue in 2025 being mostly flat to 2024. That's another 200 basis point headwind to growth. And then we also modeled a stronger dollar. We've seen the dollar strengthen over the last couple of months, especially related to the Canadian dollar. We modeled in a 20 basis points or 30 basis points headwind against growth for 2025 related to currency.
Saket Kalia: Got it. Got it. That's super helpful. Very helpful bridge. Steve T, maybe for my follow-up for you. Obviously, hardware is not the core business here. But just to make sure the question is asked. I'm curious if you could just talk about any potential impact of tariffs on that hardware business?
Steve Trundle: Sure. Yes, good question. It wasn't that long ago that we were spending a lot of time dealing with tariffs. So we're in a posture now where we're sort of reviewing tweets and other news releases each morning to anticipate what type of reaction we should have. Fortunately, we made a lot of effort previously to move the majority of any manufacturing we do out of China. So very little exposure to China at the moment. Most of the hardware that we produce is made either in Southeast Asia, the U.S., there's a little bit in Mexico and a little bit in Europe. So obviously, watch sort of the back and forth on Mexico, but it's fairly minor. So we're not at the moment, sitting where I sit today. But again, waking up each morning and reading the news and being ready to react. But at the moment, we're not impacted by much by the new tariff activity. That said, we have taken steps to bring in some inventory over the last quarter and expect to continue to do that where possible. So you may see a little bit of trend line in our financials actually that reflects our desire to bring in inventory and being a little bit more of a defensive posture should there be tariff activity that [indiscernible].
Saket Kalia: Very helpful. Thanks guys.
Operator: [Operator Instructions] Our next question comes from Adam Tindle with Raymond James. Your line is open.
Adam Tindle: Okay. And my congrats to Steve V, as well. I know you're not done quite yet. I look forward to having you at our conference here in a couple of weeks. But congratulations on the announcement. We'll certainly miss you.
Steve Valenzuela: Thanks, Adam. Looking forward to seeing you in a couple of weeks.
Adam Tindle: Yes. So I wanted to ask on the growth businesses collectively have become, obviously, a big part of the story, growing about 25%, I think you said last year. For Steve V, I wonder if you could maybe just touch on the growth expectations for that piece of the business that might be embedded in your 2025 guidance and the contribution from the acquisition here embedded in that? And then for Steve T, maybe a bigger picture question in light of this, just the strategic view on that bucket of the business. It's almost as if we've got kind of two different businesses we're running here, one that's growing over 20%. And when we back into the other pieces of the business growing closer to middle single digits. I wonder if you might just kind of assess the two different pieces of the business that you have there, the synergies between the two? And what would prompt you to think about strategic options, whether that's spinning, splitting, those sorts of things. Thanks.
Steve Valenzuela: Sure. Adam, I guess I'll start with the growth initiatives for 2025, we're essentially modeling the same growth that we seen in 2024. And if you could talk about the acquisition of CHeKT, it is an early same company. It is included in our guidance for 2025. There's a modest contribution in SaaS revenue for 2025. We bumped up our guidance for 25 for SaaS from the initial look. So part of that is related to the acquisition of CHeKT. And then I'll turn it over to Steve Trundle.
Steve Trundle: Sure. So yes, on the strategic view, our view is that we've one of the primary sort of intangible assets of the company are the set of relationships that we've developed around the world in the channel. And when we got started, of course, we were almost exclusively focused on the residential intrusion part of the market. And what we're focused on doing now is unlocking the potential of that channel in a broader set of areas. And almost everything we're doing kind of maps directly to that with the exception of EnergyHub even there, there's some overlap. So I think – and there is a lot of synergy between the R&D piece on residential and commercial. Oftentimes we find features that we did for someone that owns three homes that are now relevant for someone that has three business locations as a very simple example. So we think it's what the market is asking us to do. It's what our service providers are asking us to do. We – it gives us a way to compound the capital that we're producing in the core residential component of the business and it's allowing us to sustain growth rate with a lot more diversity in our revenue streams. On the EnergyHub piece specifically, we just think we have a nice business there that is still strategic and has a long runway ahead. So there's some overlap. The more people we can enroll and the different types of DRMS or demand response services, the more valuable EnergyHub becomes. And of course, the rest of our channel is installing IoT devices every day and we'll continue to do that. So we get this kind of unique opportunity to drive enrollment up and enable the EnergyHub business to be even more valuable. So there, there's not quite as much overlap on the R&D, but it's a business that we think is – will continue to be strategic.
Adam Tindle: Got it. That's helpful. Maybe just as a follow-up, I appreciated all the additional disclosures on kind of breaking out those growth businesses. Certainly caught my eye. I think I heard it correctly that OpenEye is nearly $20 million at this point. And I was going back through my notes and I think it was about a tenth of that size five-ish years ago when you acquired it. So I guess the part of that question would be if we use that as a case study presuming that we're going to continue to invest in sort of growth areas like an OpenEye, what were the key attributes that led to this level of a successful outcome? And as you think about opportunities to potentially replicate the OpenEye type of growth trajectory, where would be the key areas of focus?
Steve Trundle: I'd say the – in terms of key attributes and something we look for every time is the quality of leadership. So we're very pleased with that the founder of the business, the OpenEye business still leads the business and has been very adept in helping the business continue to grow. Now the special sauce, I guess, that we have brought to that business and we look for opportunities where we can do this is we know how to build a SaaS business. So in this case with OpenEye, we had a great company with a great set of customers primarily focused on monetizing through hardware sales. And we saw an opportunity to shift into much more of a cloud format and render services in the cloud. And from that I have been able to drive really nice growth, albeit off a small base, but now it's becoming on a SaaS basis pretty relevant and that $20 million doesn't capture the hardware piece that also exists there. So we'll continue to look for that, and I think when we – both of those are key attributes. When we look at the business we just acquired, we still get very good about leadership there. We think we're early and we think we can help format the business to drive even more contribution in SaaS and meet the needs of the market. So that's kind of what we're looking for.
Adam Tindle: Got it. Thank you.
Steve Trundle: Yes.
Operator: One moment for our next question. Our next question comes from Mason Marion with Jefferies. Your line is open.
Mason Marion: All right. Thanks for taking my questions and congrats to you Steve on the retirement.
Steve Trundle: Thank you.
Mason Marion: So I wanted to – I wanted to stick to the 2025 outlook here. So residential home sales have remained pretty subdued. What are you guys assuming regarding churn and NRR? Should we continue to expect stability in that NRR around that like 95% level?
Steve Trundle: Yes. I mean, that's the high end of what we've seen. So it's hard for us to say, hey, we think it's going to get even better. But certainly that just exactly what you said that the softness in people moving is contributing to a high revenue retention rate at the 95% level. We think that probably holds this year. We also have a dynamic where the more recently acquired customers are typically using a larger component of our services and almost are more than half are also using video services. So that results in two things. The subscribers a bit more sticky because they're using the system every day. The other dynamic at play though is the ARPU is higher. So what attrition we do have right now tends to be of the lower ARPU accounts and what's sticking around are the higher ARPU accounts. So we think those two dynamics probably persist into 2025.
Mason Marion: Understood. And then you launched your AI deterrent product at CES. What's the initial feedback been from customers and partners so far? And then do you think this can help drive your video penetration higher in 2025 and beyond?
Steve Trundle: Yes, I think so. To answer the last question first, I think that type of functionality is currently novel in the industry. So gives you something to talk about, get people excited about. It has the capacity to really unlock a lot of the cost associated with remote video monitoring and take that offering from being sort of a commercial, maybe high end residential niche offering and turn it into more of a mass market, small business and residential offerings. So the enthusiasm is definitely there. And as you know, if you followed us for a while, it takes our channel a bit of time from the time we release something sort of enthusiasm to the point where they have it on the price list that all their salespeople are using every day when they go out and visit customers. So it will be a little bit of a lag, but we're seeing encouraging, I would say, enthusiasm around the product and it actually is being installed in some set of installations already today and working, which is good. So far so good.
Mason Marion: Great. Thank you.
Steve Trundle: Thanks.
Operator: One moment for our next question. Our next question comes from Adam Hotchkiss with Goldman Sachs. Your line is open.
Adam Hotchkiss: Great. Thanks so much for taking the questions. And Stevie, I'll add my well wishes to you as well going forward. I guess to start with you, I wanted to dig in on margins for next year. I know you – we've talked historically about the sort of 18% margin level and you outperformed that in Q3 and we're a little bit ahead of that in Q4. I think the guide next year is for around 19%. What are the puts and takes there? Where are areas of investment next year that you're really focused on? And how should we think about sources of upside?
Steve Trundle: Sure. Hey, Adam, this is Steve T speaking. So at the moment we're in a pattern where I would say R&D expense, which is the primary expense driver that impacts EBITDA margin is going to grow at roughly the same level as revenue. And we are getting increasingly some operating leverage out of our G&A cost structure and then sort of out of the increasing maturity of some of the growth venture businesses. We did notably, so you're seeing a slightly higher Telegraph on the EBITDA margins going into his year, a little bit of a walk up seems to be continuing. And I do want to point out that that's happening even after we just completed an acquisition of an early stage business, which you can imagine probably has some associated burn – associated with it given where they are today. So we're going to continue to kind of rationalize costs, look for efficiencies and gradually move this number forward. But what we're comfortable with as we look at 25% as sort of this 19% to 19.5% margin level.
Adam Hotchkiss: Okay, got it. That's super helpful. And then, Steve T. Just another follow-up for you. On ADT, I think you mentioned for the second consecutive quarter you're still expecting that roughly 200 bps headwind for the year. Just maybe any changes from three months ago in terms of what you're seeing in the beginning of the year, year-to-date around the ADT component and that headwind would be helpful. Thank you.
Steve Trundle: Sure. No real changes. I mean this quarter they report I think after us in a about a week or so. So we'll look for their public updates on where things are. We're still modeling though that the corporate residential business will move off entirely the Alarm.com platform. As we've said before, there are other parts of ADT that we expect will continue to be contributing and we can to have a good partnership there. So some of those areas are certain facets of the dealer channel potentially. And then potentially some of the areas in small business may not be ripe for transition just yet, but we'll let them update on where that rollout is.
Adam Hotchkiss: Understood. Thank you very much.
Steve Trundle: Sure.
Operator: One moment for our next question. Our next question comes from Stephen Sheldon with William Blair. Your line is open.
Stephen Sheldon: Hey, thanks. And I'll pass along my congrats to Steve on the retirement as well. On the maybe just on the international side, can you talk some about expanding service provider partners there, how much that might help your distribution and what that might mean to the growth profile within the international piece over the coming years, which as you kind of mentioned, 6% of revenue now, up from 5% before, just kind of how are you thinking about the growth outlook there now with better distribution?
Steve Trundle: Yes. So we continue to believe that we can drive a higher growth rate on the international piece than on the rest of the business in aggregate. So we're going to continue to focus there at the moment. If I think about sort of the last five, six years, we've probably been mostly focused on the whales, if you will, internationally, the largest service providers that oftentimes have a multi country footprint and therefore have a much more complex and sophisticated platform need than an operator that is regional in nature doesn't have to deal with multiple languages, multiple localizations, that sort of thing. So that's been our focus. As we get to a little bit more scale, which is where we are now, I just want to build out the ballast in that business which requires really opening our arms to more of the regional players and the small, in some cases smaller local players. Oftentimes those are the ones that are handling the most bespoke solutions that leverage the most components of our platform for a single installation. So we're going to work towards that. It should be a long-term. If you look at North America, the long tail of our partner base drives a lot of business and over time we would hope to assemble a similar long tail internationally. And it doesn't happen overnight. It's sort of a steady commitment of four or five years, but should be additional contributor to international growth through time.
Stephen Sheldon: Good to hear. Makes sense. Maybe just as a follow up within the kind of core residential piece in SaaS and license, I guess. How are you thinking about the ARPU expansion opportunity 2025, 2026? Some of the bigger factors that could help near term as we think about increasing attach rates, especially for things like video solutions, pricing increases, et cetera. Do you think you can drive the ARPU higher here as we think about the next couple of years?
Steve Valenzuela: Yes, good question. So when we think about the residential piece, we just have to remember we have a pretty massive base of existing subscribers there. And while we can upsell some of those subscribers, you still have a sort of an anchor on the overall average ARPU that we report. It's hard to move that average number too much. That said, new subscribers are coming on with a richer set of services. Over half of all new subscribers residentially now are being installed with an Alarm.com video system in addition to an intrusion system. And 99% of those customers are getting our video analytics package. So those two things together drive a little bit of ARPU lift on your new installs. And as we look at the emergence of this RVM space and what we can do with AI deterrence, we would hope that we find an additional sort of tailwind to ARPU. The benefit though in the macro number sort of unfolds through a long period of time as the older accounts a trade-off and the newer accounts sort of become the average. And that will take a bit.
Stephen Sheldon: Makes sense. Thank you.
Steve Valenzuela: Yep.
Operator: One moment for our next question. Our next question comes from Darren Aftahi with Roth. Your line is open.
Darren Aftahi: Yes, thanks for taking my questions and I'll offer my congratulations. Great to work with you. Steve. Two if I may. In the past you guys have talked about the acquisition of EBS out of Pull in and integrating your software with the communicator there. I guess where do we stand with that integration? Is that going to be a needle mover in 2025 or is that something that's still kind of a work in progress. And then second question, just a clarification on the SaaS bump relative to your preliminary outlook. Is that entirely from the checked acquisition or is it part of that organic. Thanks.
Steve Valenzuela: Thanks Darren. I guess I'll start with the EBS question and I probably know the answer on the other one too. But yes, so yes, the Bluebird. This should be the year that we start seeing meaningful, some meaningful sales I believe probably mid-year from EBS. Granted, just to refresh memories, the EBS platform is designed to be a very low-cost platform so we're not going to see it as a place where we're driving a ton of ARPU. It's designed to allow service providers and a bigger set of service providers to take over legacy accounts that run on a bunch of different platforms. So we should start to see some contribution. I believe we're already seeing a little bit. I think that will step up around the mid-year point and be not quite a massive Bluebird, but be a little bit of a Bluebird for the international business in the second half of the year. On the SaaS bump versus the initial look, I guess I'd say on that is we did not need to complete an acquisition to hit our initial number. So, there is some SaaS contribution from check that we're modeling in, but it's less than the aggregate of the initial look increase we at this point. There's also potentially some hardware time contribution, at this point though the hardware contribution is still pretty minor and we don't like to be too aggressive in forecasting hardware sales. So we didn't bump that number at this point either. And I guess I should make the point we also didn't lower EBITDA despite it being sort of an earlier stage business that will require some investment as they ramp. I think it'll be a fast growing but early-stage business this year.
Darren Aftahi: That's helpful. Thank you.
Steve Trundle: Yep, sure.
Operator: And I'm not showing any further questions at this time. So, ladies and gentlemen, this does conclude today's presentation. You may now disconnect and have a wonderful day.